Operator: Good day, and welcome to the Curaleaf Holdings, Inc., First Quarter 2025 Conference Call. All participants will be in listen-only mode. [Operator Instructions]. I would now like to turn the conference over to Camilo Lyon, Chief Investment Officer. Please go ahead.
Camilo Lyon: Good afternoon, everyone, and welcome to Curaleaf Holding's first quarter 2025 conference call. Today, I'm joined by Chairman and Chief Executive Officer, Boris Jordan and Chief Financial Officer, Ed Kremer. Before we begin, I'd like to remind everyone that the comments on today's call will include forward-looking statements within the meaning of the Canadian and United States securities laws, which by their nature involve estimates, projections, plans, goals, forecasts, and assumptions, including the successful integration of acquisitions and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. Uncertain material factors or assumptions that were applied in drawing a conclusion or making a forecast in such statements. These forward-looking statements speak only as of the date of this conference call and should not be relied upon as predictions of future events. We undertake no obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by applicable law. Additional information about the material factors and assumptions forming the basis of the forward-looking statements and risk factors can be found on the company's filings and press releases on SEDAR and EDGAR. During today's conference call, in order to provide greater transparency regarding Curaleaf's operating performance, we will refer to certain non-GAAP financial measures and non-GAAP financial ratios that involve adjustments to GAAP results. Such non-GAAP measures and ratios do not have a standardized meaning under U.S. GAAP. Any non-GAAP financial measures presented should not be considered to be an alternative to financial measures required by U.S. GAAP, should not be considered measures of Curaleaf's liquidity, and are unlikely to be comparable to non-GAAP financial measures provided by other companies. Any non-GAAP financial measures referenced on this call are reconciled to the most directly comparable U.S. GAAP financial measures under the heading Reconciliation of Non-GAAP Financial Measures in our earnings press release issued today and available on our investor relations website at ir.curaleaf.com. With that, I'll turn the call over to Chairman and CEO, Boris Jordan. Boris?
Boris Jordan: Good afternoon, everyone, and thank you for joining us to discuss our first quarter results. We've been actively executing our Return to Roots plan to reposition the company for stronger margins and sustained profitability, and our efforts are beginning to deliver results. In quarter one, we reported revenue of $310 million, a 6% sequential decline that was in line with our guidance and primarily driven by seasonality, one less selling day year-over-year, and ongoing price compression. Despite these factors, gross margin expanded by 250 basis points to 50% from the fourth quarter, reflecting an improved efficiency in our cultivation operations. We generated $65 million in adjusted EBITDA, representing a 21% margin, even after accounting for a 130-basis point drag from our international and Hemp businesses. We also strengthened our balance sheet by reducing working capital accounts and ended the quarter with $122 million in cash. Operating and free cash flow from continuing operations came in at $42 million and $26 million, respectively. Additionally, we paid down $20 million in acquisition-related debt. Overall, we're making meaningful progress toward achieving our 2025 goals. As expected, our domestic revenue declined 8% sequentially, primarily due to macro factors such as price compression and normal seasonality, as well as deliberate actions to improve the quality and sustainability of our sales while enhancing our gross margins. In line with this profitability-focused strategy, we made two intentional decisions that impacted short-term revenue. First, we reduced exposure to select accounts identified as higher credit risks. This proactive approach reflected in our improved balance sheet metrics and disciplined receivables management, limited near-term growth but enhanced the quality of our sales. Second, we aggressively optimized retail inventory by reducing days on hand and eliminating underperforming SKUs, steps that support our transition to a just-in-time inventory model. This shift enables a fresher, faster-turning product assortment, improves the customer experience, and accelerates cash generation. These tightening measures had the greatest revenue impact in New York, New Jersey, Pennsylvania, and Maryland. Importantly, they are already delivering improvements in sales quality evidenced by our significant gross margin expansion. We remain committed to rationalizing our product portfolio, exiting non-core categories, and boosting manufacturing efficiency to support more sustainable long-term growth. The domestic growth drivers we outlined last quarter delivered strong performance in quarter one, led by standout results in New York and Ohio. In New York, revenue grew 24% year-over-year, with both retail and wholesale contributing to the expansion. Our team executed effectively, driving wholesale account penetration to 61% by quarter end, up from 50% last quarter. While market demand in New York remains solid, we believe there's potential for even greater growth. A recent rate by the OCM on a Long Island distributor highlights a critical challenge, product inversion. Illegally imported cannabis, often from the West Coast, undermining the regulated market. This practice harms licensed operators, local farmers, and consumers alike. A straightforward solution exists, the implementation of a long overdue track and trace system, which the OCM was mandated to establish two years ago. We continue to advocate for this regulatory action to help ensure a level playing field and protect the integrity of the New York market. Ohio delivered robust year-over-year growth of 58% in quarter one, with strong performance from both our two retail locations and our expanding wholesale business. We continue to build momentum in the state, and our third store in Lima is ready to open, pending state approval. Our fourth and fifth locations are on track to open in early quarter three, with additional openings planned for the second half of the year. Given our operational strength and expanding retail footprint, Ohio is well positioned to remain a significant growth engine for Curaleaf. Our international segment continues its strong momentum, delivering 74% year-over-year growth, marking the fourth consecutive quarter of 70% growth and 14% sequential growth, even despite a 2% FX headwind. Germany led this exceptional performance, with the U.K. also contributing solid gains. Margin strength was driven by strategic pricing initiatives, improved procurement, and increased operating leverage from higher production volumes in Portugal. As a result, both gross margin and EBITDA margins saw significant expansion. Notably, international EBITDA margins are rapidly narrowing the gap with the U.S., as the total EBITDA margin dragged from international operations, with just 70 basis points, the smallest impact to date. Germany delivered outstanding triple digit year over year growth, driven by accelerating demand amid a favorable regulatory environment. The successful rollout of cannabis legislation last year and the ensuing market expansion is increasingly seen as a blueprint for effective common sense cannabis legislation. The new coalition government has given its support for keeping the status quo as is, with likely changes to the timeline on phase two adult use rollout. We suspect other countries will follow suit, emulating the cannabis market Germany has created. To capitalize on the strong momentum in Germany, we expanded our portfolio late last year by introducing mid-tier and value flower offerings under the Curaleaf and [indiscernible] brand, respectively, both of which have been met with strong market enthusiasm, [indiscernible] brand emerging as one of the leading value brands in the country. With growing consumer demand and regulatory clarity under the new government that aims to maintain the status quo, we are exceptionally well positioned to scale our presence and lead this next phase of market development. Meanwhile, the U.K. delivered another quarter of strong double-digit growth, reinforcing our position as a market leader. Although still in the early stages, the U.K. market is benefiting from an unwavering commitment to patient satisfaction and operational excellence. We are actively investing in AI and automation to enhance efficiency and throughput, leveraging intelligent warehousing, faster dispatch, and recently incorporated an automated dispensing robot, which increases our capacity and automates four stages of our manual processing to drive innovation and sustainable profitability while elevating the patient experience. Our international segment is off to a strong start in 2025, and we are encouraged by prospects for new market openings that could materialize over the next year. Focus remains on sustaining our leadership in existing markets while actively preparing to enter and shape the next wave of legal cannabis markets across Europe. According to BDSA, we maintained a strong market position holding the number two spot overall, while Select remained the number one bait brand driven by our continued focus on innovation. That same innovation engine is fueling momentum across the portfolio as seen in the strong reception of our recent product launches. As we shared in our last call, we began prioritizing our premium flower offerings with the introduction of our all-star strains, further elevating our position in key markets. In March and April, we successfully expanded these strains into 11 key markets, including Arizona, Florida, Illinois, Pennsylvania, New York, New Jersey, and Ohio. Early consumer response has been highly encouraging with noticeable consumer trade-up from mid-tier to premium offerings achieved without any incremental discounting. In addition, Anthem, our new cylindrical style pre-roll brand that is rooted in American heritage and innovation, launched a couple of weeks ago in New York, Illinois, Massachusetts, Arizona, Florida, and New Jersey. Ace, our proprietary aqueous extraction technology, officially launched in New York, Massachusetts, and Florida this quarter with strong initial sell-through. Backed by five years of dedicated R&D, Ace delivers the clearest, cleanest oil on the market, setting a new standard for purity and consumer experience. Its arrival marks a major milestone, the first time this innovation is commercially available to scale, positioning us to disrupt the traditional distillate market and redefine expectations around cannabis oil quality. We're seeing strong and accelerating demand for these innovations, and our teams are working quickly to ramp up production. Anthem and Ace have already sold out of their initial production run at wholesale in New York, New Jersey, underscoring the market's enthusiasm. Our hemp business had a very productive quarter, highlighted by the launch of Formula X, our new hemp-derived THC energy drink, and the expansion of our beverage distribution into more than 100 total wine stores across nine states. We also broadened our seltzer lineup with new low-dose and flavored options to meet evolving consumer preferences. Last month, we opened our first hemp-only retail store in Florida, offering a curated assortment of beverages and edibles. This pilot store serves two strategic purposes. First, to deepen our understanding of the hemp consumer, their behaviors, preferences, and purchase patterns. And second, to expand our brand reach through a channel with fewer regulatory barriers. Our mission remains clear, to provide access to safe, legal, and tested products, whether hemp or cannabis-derived, wherever and however consumers choose to shop. With the flexibility hemp affords, we're well-positioned to enter new markets quickly and efficiently. We plan to expand into every state that supports compliant hemp commerce, and Florida's favorable legislative stance gives us strong momentum. Expect more from us on this front in the quarters ahead. Since stepping into the CEO role last August, we've completed much of the heavy lifting needed to reposition the business for long-term success. We've streamlined operations, improved key manufacturing metrics, and sharpened our focus on flower quality, evident in the markets like Arizona and Pennsylvania, where we've successfully introduced our high-performing all-star strength. We've also launched a comprehensive ERP integration project and removed unnecessary layers of management to increase agility and accountability. As we look ahead, our focus will shift to more targeted surgical improvements as Curaleaf enters its next phase of disciplined, sustainable growth. We're off to a good start in quarter one with meaningful progress in both gross margin expansion and cash generation. As we look ahead to quarter two, we remain confident in our strategy while keeping a close eye on external risk factors such as tariffs and shifts in consumer sentiment. In response, we're taking proactive steps, streamlining our product assortment, renegotiating supplier contract and optimizing logistics to mitigate inflationary pressures and protect our margins. At the same time, we're focused on driving profitability, sustainable growth, while managing expenses with discipline and precision. As we finalize our retail inventory repositioning work, by the end of quarter two, we anticipate stabilization across our core domestic markets with accelerated growth driven by strategic expansions in New York, Ohio, international, and 12 new store openings this year. Lastly, we will continue assessing retail store tuck-in acquisitions in a few of our larger markets. By controlling the controllables, we're positioning the business to remain resilient and agile in a dynamic environment. I want to extend our gratitude to our team of 5,000 strong for their hard work, resilience, and dedication. In an environment where we're all being challenged to do more with less, your unwavering commitment and adaptability continue to drive our progress and make us better every day. It's your passion and perseverance that fuel our success, and I couldn't be prouder of what we've been building together. With that, I'll turn the call over to our CFO, Ed Kramer. Ed?
Ed Kremer: Thank you, Boris. Total revenue for the first quarter was $310 million, a 6% sequential decline compared to the fourth quarter and a 9% decrease compared to the same period last year. Strength in international, New York and Ohio, was offset by pricing pressure in New Jersey, Arizona, and Illinois. International revenue grew by 74% year-over-year, driven primarily by Germany and the U.K.. By channel, retail revenue was $231 million compared to $268 million in the first quarter of 2024, a decline of 14% year-over-year, partially offset by strength in wholesale, which increased 12% year-over-year to $78 million, representing 25% of total revenue. The growth in wholesale was driven by international, continued door expansion, coupled with strong sell-throughs and reorders in New York and Ohio. Price compression remains significant headwind across the industry and will likely persist, especially in the face of turbulent macroeconomic backdrop. In the meantime, we're taking proactive steps to protect our margins by enhancing the quality of our sales. We're also driving greater efficiency across our cultivation facilities and aggressively optimizing operational processes to reduce cost per gram. At the same time, we're conducting deep pricing analysis to identify additional opportunities for smart, market-aligned adjustments that enhance both competitiveness and profitability. To this point, our first quarter adjusted gross profit was $155 million, resulting in a 50% adjusted gross margin, an increase of 250 basis points compared to the prior year period. The primary drivers of this expansion were strong cultivation productivity and efficiency gains, an increase in vertical mix, and disciplined labor expense controls. These gains were partially offset by price compression and higher promotions. SG&A expenses were $107 million in the first quarter, an increase of $3 million from the year-ago period. For SG&A, it was $104 million, an increase of $4 million from the prior year. The year-over-year increase in our core SG&A primarily reflects international expansion, the launch of our hemp division, and new store openings in Florida and New York. For SG&A, it was 34% of revenue in the first quarter, a 410-basis point increase compared to the prior year due to the aforementioned investments, coupled with lower revenue. First quarter net loss from continuing operations was $55 million, or a loss of $0.07 per share. First quarter adjusted EBITDA was $65 million, a decrease of 16% compared to last year, while adjusted EBITDA margin was 21%, a decrease of 180 basis points versus last year. Our international segment profitability is improving quickly as the scale benefits from strong demand are taking hold. Notably, the first quarter international AEBITDA margin drag improved by 70 basis points from 170 basis points last year. Separately, our hemp business weighed on AEBITDA margins by 60 basis points as we continue to invest behind this important initiative. Turning to our balance sheet and cash flow, we ended the quarter with cash and cash equivalents of $122 million. Inventory increased $5 million, or 2% compared to the fourth quarter due to growth in our international segment and inventory stocking ahead of the 4/20 holiday. Capital expenditures in the first quarter were $16 million, a majority of which was carryover CapEx from 2024. In 2025, we continue to expect capital expenditures to be roughly half of 24 levels, with investments focused on international facility expansion, IT infrastructure, and approximately 12 new store openings. In the first quarter, we generated operating and free cash flow from continuing operations of $42 million and $26 million, respectively. Operating cash flow was similar to that of Q4, despite Q1's typical seasonal slowdown. This strong cash generation underscores the effectiveness of our disciplined approach to enhancing the quality of our sales and tightening our working capital management, particularly with our receivable balances. Our outstanding debt was $561 million, and during the quarter, we reduced our acquisition debt by approximately $20 million. We will continue reducing various components of our debt throughout the year while maintaining ample liquidity to support our operations and growth objectives. The impact of tariffs is generating increasing uncertainty for our business, with the full effect still unfolding. We face potential headwinds to consumer demand as rising prices may dampen discretionary spending. At the same time, we're seeing cost pressures in several key product categories, most notably hardware and pre-roll packaging. While the ultimate impact on our cost structure remains to be seen, we are proactively managing this situation. We're working closely with our packaging and hardware suppliers to mitigate near-term risks by accelerating inventory purchases ahead of further tariff hikes. In parallel, we're exploring long-term solutions including vendor support, shifting production to lower tariff countries, and selective pricing actions. That said, our exposure to China sourcing is just 5% and will be zero in a matter of weeks as our suppliers pivot to lower-cost countries. We will provide additional updates as more information becomes available. Taking these macroeconomic factors into account, for the second quarter, we expect total revenue to increase low single digits sequentially from the first quarter. With that, I'll turn the call back over to the operator to open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Matt Bottomley with Private Investor.
Matt Bottomley: Thanks. You have Matt Bottomley here from Canaccord. Thank you guys for the question. I just wanted to get a better understanding, Boris, of the international contribution going forward. So 75 percent-ish growth year-over-year. It's been pretty successful since you guys onboarded it a few years back. With the launches in Germany now, some of the innovations there and some of the brandings that you've noticed, how should we think about that growth profile into the next couple of years? Because I imagine it's on a decelerated basis, but obviously there's less visibility for us analysts with respect to what's going on over in those markets.
Boris Jordan: Thank you, Matt. I think that one has to be careful because I don't want to predict new markets. Although we know there are several major countries that are anticipating launching cannabis programs over the next several months that would likely launch next year, we are working with those countries. But until they actually make the announcements and they publish the rules, we don't want to speculate on that. If we talk about the existing main markets which we sell into, which is the U.K., Germany, Poland, Australia, and New Zealand, I think that we could probably anticipate a continuation of the current trend of growth. We forecasted earlier in the year that we were going to grow from about $107 million, which was our number for last year, to call it somewhere around $170 million this year. That's what we're estimating at this point in time, and we feel very comfortable with that number. Going forward after that, I think a lot has to depend on new countries as well as the continued expansion of the program in the U.K. and Germany. I would just say that both the U.K. and Germany are still very much underpenetrated and have a lot more room to continue growth. On the negative side, I would just say that there is a lot of product hitting the European market. Colombia, African countries, Canada are exporting, and there is some price compression that's showing up in the market. We tend to play in the premium side of the market, and so we haven't felt it. We have largely been expanding our margins. But it is a threat to the market, and there's a tremendous amount of cannabis that can't be sold in Canada or other markets. It's now making its way into the European market.
Matt Bottomley: I appreciate that. I'm just wondering if you could maybe just very quickly on the CapEx side, when it comes to international, because about 11% of your business, it's going to be, I guess, the same consideration of what your estimate is of expanding markets. But on a steady state, just those three core markets you mentioned, how should we think of the ratio of your CapEx? I know it's a pretty CapEx-like, but any color would be great.
Boris Jordan: Most of the CapEx that has already been sunk and invested into those markets at this point in time, we do have some small things here and there. I would estimate somewhere around $20 million is what we're looking at over the next year and a half into the European market, and that should be more than enough to complete our cycle of investment.
Operator: And the next question comes from Russell Stanley with Beacon Securities.
Russell Stanley: If I could, on New York, can you talk about what you're seeing on the wholesale front with respect to the competitive environment? You had a head start being one of, I think, few with ample indoor production capacity, but I'd love to hear what you're seeing there now. Thanks.
Boris Jordan: Hi. Thanks, Russ. So New York is a very strong market. It continues to grow. We're seeing more and more stores continue to opening up, and it's a large geographic footprint. But we're doing well in the market and continue to expand our ability to distribute product. As I said in my prepared remarks, the biggest issue in New York, and we definitely saw that in the first quarter, we saw our revenues from the fourth quarter to February drop almost by 50% because of what we would call the inversion. The inversion is where illicit cannabis from California and other markets made it into the New York system because of a lack of a seed-to-sale tracking system, and that definitely affected the New York growers. Now, as I also mentioned in my prepared remarks, the OCM, which is the regulator, did clamp down on one of those organizations that was doing that, and we're seeing a little bit of hesitancy from the retailers in taking on any more of this product. And so we are seeing a recovery in our wholesale sales in New York ever since the action of the OCM. And so if that continues, then I would say that the growth trajectory in New York is still very, very great.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Camilo Lyon for any closing remarks.
Camilo Lyon: Thanks, everyone, for joining. Have a great night, and we'll talk to you again in three months.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.